Operator: Good afternoon, and welcome to Ascent Industries Q1 2025 Earnings Call. Today's speaker are CEO, Bryan Kitchen; CFO, Ryan Kavalauskas; and the company's on-site Investor Relations adviser, Ralf Esper. We'll begin with prepared remarks followed by Q&A. Before we go further, I would like to turn the call over to Ralf Esper as he reads the company's safe harbor statement within the meaning of Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Ralph?
Ralf Esper: Thanks, Marvin. Before we continue, I would like to remind all participants that the discussion today may contain certain forward-looking statements pursuant to the safe harbor provisions of the federal securities laws. These statements are based on information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. Ascent advises all of those listening to this call to review the latest 10-Q and 10-K posted on its website for a summary of these risks and uncertainties. Ascent does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include non-GAAP measures. In accordance with Regulation G, the company has reconciled these amounts back to closest GAAP-based measurement. The reconciliations can be found in the earnings release issued earlier today and posted on the Investors section of the company's website at ascentco.com. Please note that this call is available for replay via webcast link that is also posted on the Investors section of the company's website. Now I'll turn it over to our CEO, Bryan K, to walk you through the results and what's driving continued momentum. Bryan?
Bryan Kitchen: Thanks, Ralph. Let's start with the headline. Despite ongoing soft market conditions, we delivered another sharp quarter of operating improvement. We controlled what we could, we stayed disciplined, and we drove measurable improvements through aggressive self-help. Net sales from continuing operations totaled $24.7 million, down from $28 million in Q1 of 2024, reflecting broader market softness. But that's where the similarities end. Adjusted EBITDA from continuing operations meaningfully improved, swinging from a loss of $2.7 million in the prior year to a positive $843,000 this quarter, a $3.5 million turnaround. The structural changes that we implemented across the organization over the last year are working as evidenced in the results that we are discussing today. It's a clear reflection of a more profitable book of business, enhanced operating discipline and better sourcing. Let's dive into the details with an update on the Tubular segment. On October on April 4, we closed on the sale of substantially all of the assets of Bristol Metals to Titan International for $45 million, subject to certain closing adjustments. With the Bristol divestiture, ASCI remains our final tubular asset in continuing operations and it performed well in Q1. In Q1, ASCI delivered $6.9 million in revenue, down slightly year-over-year. However, gross margin jumped from 12.3% to 24.8% and adjusted EBITDA rose nearly 5 times to $1.3 million. The story here is disciplined execution, tight cost control, sharper pricing and operational efficiency. Even in a tough demand environment, we're proving that value can be created through focus and fundamentals. Let's talk about Specialty Chemicals. First, the macro. We continue to monitor the tariff environment. Over the last year, our strategic sourcing team has done an exceptional job improving our cost structure and building resilience in our supply chain. Because of these efforts, approximately 95% of our revenue is supported by domestically sourced raw materials. That's by design, and it's a major competitive advantage. As tariffs loom, customers are looking for reliable domestic partners, and we're stepping in to fill that need. In fact, we are currently working with customers to onshore essential ingredient supply chains from Asia, Europe and Canada. Ascent is proud to play an active role in the domestic manufacturing renaissance in specialty chemicals, and we believe that tailwind is just beginning. Pivoting to our financial performance in Q1, our Specialty Chemicals segment continues to deliver in a difficult demand environment. While revenue declined year-over-year to $17.8 million, gross profit increased by $2.1 million, rising from $1.6 million in Q1 of 2024 to $3.7 million in Q1 of 2025, a 131% improvement with gross margin expanding from 7.6% to 21%. Adjusted EBITDA improved by $2.3 million, swinging from a loss of $0.3 million in the prior year to positive $2 million this quarter. This strong improvement reflects the underlying muscle of our sourcing, manufacturing and commercial efforts beginning to strike this one. The story here is about quality over quantity. We're deliberately shifting our mix to higher-margin opportunities, tightening our commercial focus and aligning our resources around opportunities where we have the right to win, and it's working. Throughout 2024, we invested in our ability to be a more capable, more responsive and more integrated partner to our customers. We've aligned technical sales applications development, operations and supply chain to deliver a more holistic customer experience. That includes branded offerings in oil and gas and HI&I, stronger quoting agility. And measured improvements in customer response time and solution delivery. It's early, but the model is showing traction, and we're building from here. In Q1, our commercial and technical sales team secured to annualize $7.5 million of net new business with EBITDA margins in excess of 20%. Importantly, this growth was well dispersed across key end markets, including oil and gas, case, lubricants, textiles and other industrial applications. What's even more encouraging is the balance of that growth. 25% came from net new customer relationships. We are winning new customers. 75% was an expansion within our existing customer base, a clear sign that our value proposition is resonating, and our service execution is driving an increased share of wallet. We're not just selling a product, we're solving problems, creating formulations and delivering it with speed, reliability and compliance. We're customizing products in quantities both large and small, in ways that traditional manufacturers simply won't and delivering that customization with the level of flexibility and technical depth that classical distribution models can't match. It's a hybrid of custom manufacturing and high service distribution, and it's working. This is what sets us apart. It's not just what we make, it's how we make it work for each customer. Momentum is building not only in our operational performance but also in market engagement. Average daily trading volume jumped to roughly 63,000 shares in Q1 of 2025, 160% lift versus Q1 of 2024. That surge has proved that the market is beginning to tune into our story. In March, Bryan and I joined the Planet MicroCap podcast to unpack our story and our transformation road map. The reaction was immediate new conversations, fresh inbound interest and a broader audience tracking essential progress. Before I pass it off to Ryan, I want to thank our entire team at Ascent, who has continued to demonstrate incredible grid, puzzle and the drive to win. I would also like to thank our investors for the confidence that they have placed in both Ryan and I and the team that we have assembled. With that, I'll turn it over to Ryan to provide a bit more context behind our financial performance. Ryan?
Ryan Kavalauskas: Thanks, Bryan, and good afternoon, everyone. Let me take a few minutes to walk through our first quarter financials highlighting many of the points Bryan touched on related to operational discipline and the structural changes we've been driving across the business. In the first quarter, revenue from continuing operations was $24.7 million, a year-over-year decline of $3.2 million or 11.5% from Q1 2024. It's important to note that this top line contraction was not only anticipated, it was largely intentional. As Bryan alluded to, as part of our strategic repositioning, we actively chose to exit certain low-margin low-value volume streams in favor of higher value, more technically demanding business. That decision contributed to a 22.8% reduction in pounds shipped, but was offset in part by a 13.5% increase in average selling prices. The result is a leaner, more profitable commercial base that better aligns with our long-term margin and return profile. Further evidence of our progress can be seen in gross profit, which nearly doubled to $4.8 million or 19.3% of sales compared to $2.3 million or 8.3% last year. An expansion of over 1,100 basis points. This improvement reflects not just better pricing discipline and product mix but also structural tailwinds from lower raw material costs. a continued focus on strategic sourcing and improving throughput at our plants. These margin gains are not episode. They represent real progress in repositioning the business for sustainable profitability. Turning to our cost structure. We've made disciplined progress in enhancing operating efficiency, an outcome that reflects not only our internal focus on talent and process, but also tangible reductions in external spend. As a result, SG&A declined to $5.6 million, a reduction of $1.1 million year-over-year efficiency increased as we saw SG&A representing 22.5% of sales down from 23.9% in Q1 2024. Importantly, this improvement did not step simply from broad cost cutting. Rather, it reflects the intentional allocation of resources into people and processes that are now delivering leverage. Throughout 2024, we made precise targeted investments in commercial, technical and operational roles, designed not to simplistically grow the arc chart, but to extract value from underutilized assets, improve workflow discipline, and accelerate decision velocity. This is a deliberate approach. We invest where we see measurable return and we structure our organization to remain lean, agile and performance driven. The outcome underscores our commitment to building a scalable, performance-driven organization. One on where cost efficiency is a function of execution, not austerity. That same discipline and focus is beginning to show up in our financial results. Most notably, on a consolidated basis, adjusted EBITDA turned positive at $843,000, an increase of $3.5 million from the $2.7 million loss in Q1 of last year. This milestone reflects a combination of gross margin recovery, cost discipline and early leverage on a more productive revenue base. This is the beginning of a more durable trend in operating performance, and we believe the underlying earning powers of this business is only just starting to show through. Finally, our balance sheet remains a key strategic advantage. We ended the quarter with $14.3 million in cash and no debt before the divestiture of substantially all of the Bristol assets were $45 million, providing significant flexibility as we evaluate capital deployment options. On a trailing basis, our cash burn has improved significantly, and we continue to target cell funded growth where possible. During the quarter, we also repurchased approximately 17,000 shares at an average price of $12.73, reinforcing our conviction in intrinsic value and long-term fundamentals. From an inorganic growth standpoint, we remain highly selective and disciplined. While market activity has remained muted, our strengthened balance sheet gives us the optionality to act when the right opportunity presents itself without compromising on return thresholds or integration fit. We're focused on businesses that complement our platform capabilities and growth aspirations, those of enhanced margin profiles or portfolios that bring differentiated customer relationships. Until then, capital preservation and disciplined execution remain our default past year. To summarize, the revenue contraction this quarter reflects strategic pruning of lower margin business and repositioning for buffetable growth. We delivered over a 1,000 basis point increase in gross margin expansion and achieved positive adjusted EBITDA, driven by efficiencies in our structural cost basis and mix improvements. We're operating with discipline improving cash conversion and at $14.3 million in cash and no debt before the Bristol sale, giving us real flexibility. Foundation is stronger. Our focus is sharper and our optionality is increasing. With that, back over to the operator for questions. Thanks.
Operator: Thank you, sir. At this time we’ll conduct the question-and-answer session. [Operator Instructions] And our first question comes from the line of David Sgro, Private Investor. Your line is now open.
Unidentified Analyst: Hey guys, congratulations on the momentum on the gross margin and on the Bristol sale.
Bryan Kitchen: Thank you.
Unidentified Analyst: I think I know I've appreciated the investor conferences and the transparency from that. I think that's been really good. A question though on the STI business. So that's doing well right now. $1.3 million adjusted EBITDA in Q1. So let's say, you get $4 million to $6 million in adjusted EBITDA in 2025 and get a 4 to 6 multiple on that. Would you say that in this climate, ornamental stainless domestic manufacturer is a more attractive target than it was, we'll say, even six months ago?
Bryan Kitchen: Yes, David, it's Bryan. I appreciate the comments. And regarding your question, I would say it's materially changed. The demand has remained incredibly soft we're seeing things pick up obviously in Q1, but it's still relatively soft market conditions related to the tariffs, we're getting some additional looks, but the barn doors are not being blown off at this stage.
Unidentified Analyst: Got it. Is that still a possibility that it could be sold in 2025?
Bryan Kitchen: Yes. We're always evaluating options to monetize the value out of all of our assets.
Unidentified Analyst: Okay. I think it was mentioned that the goal for 2025 in Chemicals is not top line but profitability. And obviously, you're there now. Do you think that with the sticky revenue and the earnings profile that we can begin to get guidance going forward?
Bryan Kitchen: Yes. I'll let Ryan comment on that further, but I would suggest that that's not going to happen inside of 2025. We're still always stabilized significantly in 2024. There's still some stabilization activities happening in 2025. And I think it's just a little bit mature to sort of flashing guidance.
Ryan Kavalauskas: Yes, like Bryan's comment. I think as we continue to reevaluate the portfolio and the customers and the mix of products, I think until we get a more stable base, I think we're going to continue to kind of withhold forward-looking guidance, just until we get a better handle on switching the business to this more higher-margin style business that we're looking for.
Unidentified Analyst: Okay. Now you did mention that in 1 of the conferences that the goal is essentially $80 million a year now in chemicals to $120 million by 2030 with your existing asset base. So that growth would start happening 2026. Is that the plan?
Bryan Kitchen: Yes. I think we'll start to see some element of growth certainly in the second-half of the year. The team has developed a really strong and compelling selling project pipeline. As you know from our prior conversations, the sales cycle is not instantaneous. It does take some time even for branded product sales. So we'll start to see a ramp in the second-half of the year and bring into a much more compelling top line in the secondary in 2026.
Unidentified Analyst: Okay. Good to hear. And did I hear that correctly that in 2024, I think it was 75% commodity, 25% blended in your chemicals in that 2025 would be like 65% mix and if you want to get to a 50-50 split Yes.
Ryan Kavalauskas: Yes, that's right. So 2024, we ended the year was $75 million split between custom manufacturing and branded product sales. I'll tell you that from a Q1 standpoint, we're in that same genre today, but we do have hopes that we'll be able to drive that towards a 65-35 split by the end of this year.
Unidentified Analyst: Got it. And this can all be done with the existing capacity and minimal CapEx?
Ryan Kavalauskas: Absolutely. Yes. So I mean, our run rate CapEx is between $1 million to $3 million a year for the past four years. We believe that, that's reasonable a reasonable assumption moving forward and our asset utilization today is incredibly low. We have tons of runway for organic growth.
Unidentified Analyst: Okay. Good. And then 17,000 shares essentially bought in Q1. Was the Board limited or was the buyback limited because of the Bristol transaction just wasn't able to be in the market where you want it to be?
Bryan Kitchen: Yes. I think from a Q1 standpoint, we executed against the buyback within the confines of the existing buyback program that we have. Certainly, our optionality has increased with the Bristol sale, and we'll be looking at that moving forward.
Unidentified Analyst: Got it. Do you still feel the stock is undervalued at these levels?
Bryan Kitchen: My personal opinion, yes.
Unidentified Analyst: And so with that expanded stock buyback that was announced on February 18, so you have the ability to buy higher prices and a greater amount. Is that what's being said.
Bryan Kitchen: We do. Obviously, they're limited on a daily basis on the number of shares that we can acquire at certain price points, but yes.
Unidentified Analyst: Got it. Okay. Alright, thank you , very good. Good to see the progress.
Bryan Kitchen: Appreciate the questions, David.
Operator: Thank you. At this time, this concludes the question-and-answer session. I would now like to turn the call back over to Mr. Kitchen for closing remarks.
Bryan Kitchen: Okay. Great. Thank you, Marvin. We'd like to thank everyone for listening to today's call, and we look forward to speaking with you again when we report our second quarter 2025 results.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.